Arnold van Graan – CIBC World Markets: Good afternoon everyone. I'm Arnold van Graan. I cover the PGMs Base at South Africa and it's my pleasure to introduce Mick McMullen, President and CEO of Stillwater. Mick was appointed as President and CEO in early 2013 or December, 2013. However, he is not new to the company, having served of the Chairman of the Technical and Ore Reserves Committee since March of 2013. Before that Mick spent 21 years in the mining industry. Mining all sorts of stuff copper, gold, iron ore both underground and open pit operations in places like Latin America, Europe and Australia. So that's very impressive career. So last all of that mining PGMs in Montana isn't really that a big challenge. It seems like a breeze, so over to you. Mick?
Mick McMullen: Thank you very much, Arnold and thanks for everyone that's listening. I'll just move through the presentation front of it here. So we've got a forward-looking statement. I'll leave people to read that at their own leisure. So Stillwater Mining Company we have world-class assets. We're a PGM miner in the US. We're at a geopolitically stable area and we've got two coals business units which is mining PGMs and recycling. We produced 524,000 ounces of PGMs from our mines last year and we traded around about 620,000 ounces through our recycling facility. We have 21 million ounces of proven and probable PGM ore reserves and our reserves spilt roughly 80% palladium and 20% platinum. We are listed in the New York Exchange with a secondary listing in Toronto. Our market cap is $1.6 billion. We are net debt free and our liquidity position is we have about $464 million of cash at the end of September quarter and an undrawn credit facility of $96 million and that's really the company in summary and so if you would like to for any questions, you'd like Arnold. I'm happy to answer them.
Arnold van Graan – CIBC World Markets: Yes. Let me kick off. The first one is, I mean it always takes a while to settle in as the new CEO. Now given that you've been on the board for a while, it surely helps that process along but where are you in the process in terms of settling. Based on what you put out over the last few days in terms of your strategy and your plans going forward. It seems you fairly well settled in, but are we about to see you ringing in the big changes or you're still taking a good deep look at the business.
Mick McMullen: I think the combination of two things; really one we are making the changes that are the easiest changes to make first, which is all of the non-corporate costs things that don't impact on production. So you'd have seen in the strategy announcement we put out yesterday. We've made about 40% reductions in each of the guidance versus initiated last year for the SG&A and the development assets. In terms of the Montana operations and the recycling business. We are still got quite a workload underway they had to look at how we optimize those things. And I think the guidance that we put out yesterday for 2014, some of that stuff particularly on the capital expenditure and the cash [indiscernible] is still a large body of work underway on that. We can see a lot of potential for productivity improvements and ways in which we can improve, how we got to return on capital. So I think over the next three to six months. You'll see significantly more information come out about particularly to Montana operations.
Arnold van Graan – CIBC World Markets: So I mean these seems like the first opening [indiscernible] of quite a few things coming down the pipe, but how do you position Stillwater as the must have name in the PGM space. We've been going around telling people that's essentially that. If you want to be in PGM you either have to be in South Africa or you have to be in the metal itself. There is not a lot outside of South Africa, but how do you change it to be the choice PGM producer?
Mick McMullen: I think there's a couple of things that we can do and we are doing. One is that, we need to have a clear focus on returns to shareholders, which perhaps hasn't been the focus for the company. Before I think, it's been viewed internally as a growth story and we are now looking at this more as a cash flow and return to shareholder story, as oppose to continually reinvesting all of our free cash flow. And I think the other thing that really will separate us out from particularly the South African producers is, we are in a very low political risk environment. We have very good social climate there in Montana and I think some of the risks that some of our peers face from the social issues, labor issues we don't have those in Montana. I think the other thing that going forward particularly for some of our customers that will differentiate us from those other producers is that, our social license is very strong in Montana. So our environmental track record, particularly out of the recycling business is second to none. Our emissions are extremely low in comparison to our peer group and we have very good social license. So I think that, eventually for customers in particular that may sort of put us in the position, where we become a sort of more preferred supplier of the metal. In terms of the operations themselves. We do have the world's highest-grade PGM mines. The Stillwater mine is running it around about 5.55 of an ounce per short ton and the East Boulder Mine is around about 0.38 ounce per short ton. So very high grade mines and I think that there's some large development projects that have been underway for some time that are sort of coming to a close now. They're way about to start see the benefit from. I think where we can see a lot of potential to improve is on the productivity. We currently have quite a large workforce which has been increased gearing up for these production, the ramp up that we are sort of now starting to see coming out of the mines. If you notice the fourth quarter, was a very strong quarter for us and we are starting to see the benefits of that. So I think really the key for us is to make sure that we can demonstrate to shareholders, investors that we are going to generate an adequate return on the capital [column] and that also more importantly, we are going to hand some of that back to them at some point.
Arnold van Graan – CIBC World Markets: Okay, so it comes down to that balance. As you said, you don't want to reinvest all the [pre-cost] that you generate but again investors are always looking for growth. Yes, we expect PGM prices to go up and that's going to do a lot to drive your cash flows, but let just take for argument sake, a situation where we do see flat metal prices anyway to really even drive your cash flows will be [indiscernible]. The question is, is there some scope to pull forward. Some of the growth that you've got planned for Montana. I think based on your current plans, you can basically push it to 600,000 ounces by 2017 that's around about 500,000 ounces now. So how do you pull that growth forward without again reinvesting all your capital. Are there some interesting things you're seeing by the sounds of it, you do have some projects that are now coming up and coming into production, but what is the main kick or what is the easiest way to bring that growth form?
Mick McMullen: Productivity improvements, is in short is the easiest way to get growth faster. So by actually squeezing more out of the infrastructure that we have, by squeezing more out of the workforce that we have, that is the easiest way to bring production forward now. So Graham Creek which is sort of main development project that's at East Boulder, that's near enough to being finished now. So we are going to start seeing production coming out of that, out of the broadly Q3, maybe Q4 of this year and that will start adding reasonable amount ounces to our production profile. One thing that I will say is that, we are not necessarily tied to chasing the maximum number of ounces we can produce going forward now. What we are looking to do is, to chase the maximum number of highly profitable ounces we can get. So for us, the strategy is changed slightly in terms of we are not married to necessarily being a 600,000 ounce a year producer. What we are striving to do is, to produce the maximum cash flow on a long-term basis we possibly can and so we can, we've identified some opportunities and continue to identify some opportunities for some lower cost ounces and perhaps the other large development assets that we've got that's maybe not well understood is the Blitz project, which is a sort of a longer term reasonably large development that we are doing. It will add some additional ounces to that production profile, but more importantly, it adds or will replace higher cost ounces with lower cost ounces that sort of probably the main benefit for Blitz is that it actually will reduce our cost per ounce, quite significantly once that comes on and then we can look at, if metal prices go up, then we can do some other incremental ounces we can take, but very much the focus for this company going forward has to be looking at producing the maximum cash flow, we possibly can. We have significant inbuilt latent capacity within our processing facilities that's already been paid for. For instance, the East Boulder mill is a 2,000 ton per day mill. Currently runs at 1,300 ton per day. And so the key for us has to be to fill that mill up and gain by increasing productivity from underground. Getting more tons out of the whole, that allows us to fill that mill up. It allows us to reduce our overall cost per ounce significantly. The other operations at the Stillwater mine. We do have some excess capacity there, not quite as significant probably 500 ton a day, excess capacity we have sitting there fully paid for that is just a question of putting more tons in. So at this point in time, our bottleneck in the operation is the mines and on challenging side management to chase those bottlenecks down and as we resolve each one to push it further along down the chain. Similarly in our recycling business, we have significant excess capacity there that facility is running at maybe 60% of capacity and so we have significant potential to fill that facility up and expand that recycle business and that as well. A significant portion of our fixed cost and so every, the profit margin on every extra ounce that you put through that business is actually substantially larger than the first ounce, to go through.
Arnold van Graan – CIBC World Markets: I mean, we've talked a lot about cost and as you say you're going to drive productivity and obviously that will improve your unit cost numbers, but I guess you've taken a long hard look at the cost base and I'm not talking about the overheads and expiration but on the mines itself, do you think they scope there to go in cut out another level of cost.
Mick McMullen: Absolutely.
Arnold van Graan – CIBC World Markets: Or is it already been done because I mean we've gone through a few iterations. Where you try and right size operation and try and reduce any necessary cost, but do you believe there is small scope for that and you can just give us some few examples of what we can see coming out?
Mick McMullen: Sure. Yes in short the answer is yes. There is significant potential to improve our cost on site. We have a of our workforce on site, we have a fairly substantial portion of the workforce that's not actively involved in production and we want to try and get more of our workforce actively involved in the production side again that's the productivity getting ore out of the whole, it's most important. We want to look at things like for our miners underground, they lose a significant portion of their shift in terms of travel time. So there's ways that we can optimize how we get our worker from the office or the change room to the work phase and back again. Again to increase the amount of working time per shift. We are going back and we're looking at all of our external party costs, both corporate and at the sites. In terms of our suppliers, contractors, consultants and we've rearranged or have rearrange, the reporting internally such that now things like procurement for under the domain of the mine site control. So historically, that being in a separate department and it's been difficult for seeing the management to hold site management accountable for the total outcome which is ounces at a certain cost. When they haven't had full control of half of that equation? Going forward, site management have control of that full equation and therefore they're accountable for the final outcome for shareholders. And so by doing that, I think that we can eliminate just a layer of cost in general, but I think it will also allow us to do things like optimizing our inventory at the mines in terms of the spares and working capital we hold. I think, that we've got ability to drive some of our supply cost down by having actually the mine goers being in charge tendering and controlling what they get or what they want and then similarly we've got a large amount of working capital in general in the business. Circa $100 million at the recycle business which is sort of excess cash sitting in the business that I think we have the ability to do some things we have to free some of that up. So there is a lot of work underway. I would say that this type of process hasn't been done at the operation before. East Boulder has sort of been right sized with down sized it to one site and productivity at that mine is significantly high, than productivity at the other mine, even though they're only 13 miles apart across the mountain. There is no doubt that productivity at that mine is significantly high. So it's a cultural thing that we need to instill across our workforce. We are here to operate safely and in environmentally-friendly way, but we are also here to generate return for our shareholders and that's probably something that I think is that the last part of that message is probably not something that has really been a key [indiscernible] in the company before.
Arnold van Graan – CIBC World Markets: Okay, well I mean from a investor point of view that sounds very encouraging. It sounds like you have a few more strings to pull in terms of productivity and producing the cost. So by the sounds of it, your latest forecast could turn out to be fairly conservative. So can you give us some timing as to when you could give us an update on numbers that could come up that look better than what you've just put out few days ago.
Mick McMullen: Sure, look we typically update our guidance every quarter. Based on, how we're going for the previous quarter and I'd think that certainly within that timeframe. We'll be coming back out with some additional. As this work, which is not complete yet but gets completed? We will be able to come out and give people some updated guidance. You will notice last year, I think we updated our production guidance two or three times. Still managed to beat that, even though we've increased it each time. We reduced our capital expenditure guidance during the course of last year. At least twice, that I can recall and again I think we come in under that again as well. So if I look at the guidance, we've put out. I think that we had a very solid production for Q4 and that trend is continuing. I would like to think that, some of the capital expenditures that we've got here that I think there's additional work that we can do there to see if there is some additional trimming that we can do there. And we are working through in terms of trying to drive our cash cost down as well.
Arnold van Graan – CIBC World Markets: Okay, so I want to change gears a bit here and let's go to Marathon, Ontario. So when you came up yesterday with your strategy, you basically said you're not going to be spending significant amounts on capital on these assets and you're going to try and keep open the optionality, but let's get it out there. What's your longer term plans with these? Are you going to sell them obviously that's the first prize? When would you know that, this is not the right time? We have now preserved optionality and our stand to let it go because in the interim. It will probably still be a bit of [indiscernible] people will always worry what's going to happen to these things and when will we see any potential return for that?
Mick McMullen: Sure. They're slightly different questions, I guess our answer is because as we said yesterday our core business going forward is PGM mining in low political risk jurisdiction and so clearly if that is our core business going forward. Altar is a non-core asset for us. We've guided that we will spend circa $3 million on that so during the course of this year to preserve our optionality. And we also announced yesterday that the new resource for Altar it's very large. It's significantly larger than what it was, when the company bought it and within sort of top 20 undeveloped copper assets. Globally this falls about in the middle of that by size. So we do think that it does have significant value at some point. Argentina, obviously is not a fantastic jurisdiction at this point in time, but we think that will change at some point and therefore, we want to maintain optionality. We are doing the money we are spending at the moment is some of the sort of early stage economic study, so that we can take it forward a little bit in order to be able to demonstrate some sort of value for potential sale or joint venture or some other type of arrangement or like a spinout of list we're given. So I'd think that it's probably not within the next 12 months that we realize some value, but we'd like to do something in the not too distant future on that. We do take an impairment on that in the third quarter. We wrote that down to circa $100 million off the top of my head and we've felt that based on market comparable piece in the market that was a fair number. So it's fair to say that, look it is a very large asset. It's not our core business, we haven't started a formal process at this point. We feel it's appropriate to get a little bit more information, so that we can actually understand what we can get, but it is a non-core asset for us. Marathon on the other hand, I mean if our core business is PGM mining in low political risk jurisdictions. Marathon is on Ontario, it's a predominantly PGM with some copper. So it does fit those boxes. We have a very good joint venture partner there in the form of Mitsubishi, who owns 25% and therefore decision is on that not solely within our realm in terms of going forward. We have said that we will not commit material capital to that asset unless, we can demonstrate that it makes an adequate return for shareholders. The feasibility study is ongoing and there's optimization work happening at the moment. I think what's fair to say is that. the guidance we've given for spend on that over the next year is $5 million to $10 million and I would think that, giving the permitting process and everything that we wouldn't be even in a position to look at committing material capital, I think at least two possibly even three years. So I think for Marathon, the question there is just, at what point do we have can we demonstrate that it provides an adequate return for us to look at funding the thing, but it's certainly not going to be in the immediate need to.
Arnold van Graan – CIBC World Markets: Okay and then I think the next thing to touch on is your recycling business. Now you've been expanding your business there recently and listening to what you said a few days ago that's also going to be a key focus area going forward. However, there is a lot of concern out there in the market, that recycling could actually damage PGM prices, we've seen recycling pickup quite strongly over the last few years. So I guess the question is two-fold. The first one is, how do you see that part of your business developing and if you can just give us your take on, what impact recycling or growing recycling volumes could potentially have on PGM prices?
Mick McMullen: Sure. Look there is no doubt that as prices increase, recycling increases as well and it does provide a reasonable chunk of supply as prices go up, but you can also take account of view is that, well if that is the case, it's going to happen regardless of whether we are in that business or not. So we might as well be in that business and get some of that revenue ourselves. I think for us, there is a significant advantage for us that we have in that. It's almost symbiotic relationship between our recycle material and our mine in that. Our mine concentrate provide some additional benefits for us in terms of reducing our cost, and so the business is a good business for us. It's a very low risk business for us and it provides very good earnings. Again we provided yesterday that, off the top of my head. I think for the nine months, our earnings before tax was circa $30 million – $31 million. So it's quite a good business in it. Consumes very little capital for us. We do have some working capital tied up in the business but we've got some [indiscernible] we can free that up if we want, but in terms of a business that our return on capital business. It's quite a good business for us And so the facility we have is significantly larger than what we currently use at this point in time. We feel that, it's a good opportunity for us to be able to grow in that space and the incremental cost of growing that is very small for us. So again, the profit margin on each of those new ounces is better, as we get bigger. So historically, that business has sort of not had good visibility in the marketplace. It's sort of so being viewed as a bit of credit against the mine. Some of the organizational changes of making is to put it really as a standalone business unit. It's going to complete for capital with our mine and a project development teams and so we think it's got a lot of potential actually this business. And also I think importantly perhaps going forward for our customers, being able to brand ourselves sort of green and environmentally-friendly is part of this lifecycle of the [car]. I think actually is a very important point going forward because we are being able to recycle material, which I think is quite important for people.
Arnold van Graan – CIBC World Markets: Okay. I'd like to open it up to the audience, if there are any questions?
Arnold van Graan – CIBC World Markets: So just to repeat the question. Is there a change in your real marketing strategy? Obviously you've come along as the new CEO and if also seen the outlook for the PGMs improves, so is that later part of your marketing strategy, will you be more active going forward in terms of marketing Stillwater as the name to be, when it comes to PGMs?
Mick McMullen: Only in so much, we think that it will be able to attract money into the sector into the supply-demand equation looks very good. In terms of how we position our company, we are in this business. We've got a 40-ish mine life, we are sort of in this business irrespective of what the price is. So I think the way we look into position the company is very much, that we should be as Arnold has said that investment of choice for PGMs. In terms of me, being attracted to the company. Clearly, you know I've just joined as the CEO six, seven weeks ago. I look at the supply-demand. I think the outlook for palladium is fantastic. Actually, I think we could see a really strong growth cycle, but I need to prepare this company to be profitable under all scenarios. So we are not hanging our hat hoping that PGM prices go up and not doing anything else. So clearly, we are trying to drive our cost down because that's really where we want to be the lowest cost producer, we possibly can.
Arnold van Graan – CIBC World Markets: Mick, I'll give you few minutes to summarize the story but, when you do that just think of when investors look at this. What are the catalyst that's going to drive the pricing over the next few months and you've talked about that? If you can just summarize that for us and then you know the other thing, is simple question. So what is the market missing here. Outlook for PGM price is palladium in particular seems very positive, yet we haven't seen people come on board. So how do you see they're developed over the next few months.
Mick McMullen: Okay. I think the key is really to continue to deliver on this strategy of reducing cost and cutting all non-essential cost that we can. I think the firm commitment to make a return to shareholders at some point in the not too distant future will be very important invested minds. Maximize our free cash flow that we can and demonstrate good corporate governance because I think historically that was one of the concerns that people had around the company. We have a new board that works very well together and so I think the trick for us is going to be to demonstrate that we can deliver on the promises and always to under promise and over deliver, which I think is sort of where we are coming in. I would much rather come in upgrade guidance then go the other way. So that's really the key for us. I think is to build trust in the investment community and deliver on the strategy as we to roll it out.
Arnold van Graan – CIBC World Markets: Okay, Mick. Thank you very much.